Operator: Thank you for standing by, and welcome to the Pilbara Minerals June 2021 Quarterly Investor Conference Call and Webcast. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session.  I’d now like to hand the conference over to Mr. Ken Brinsden. Please go ahead.
Kenneth Brinsden: Thank you, Ken, and welcome, everybody. To those that are joining via the teleconference and those participating on the webcast, it's not to be  this morning for the presentation of our June Quarterly Report. For those of you participating on the webcast, we've opened up the Ask question tab. So if you are interested in pursuing an inquiry of the management of Pilbara Minerals, please do so, and we'll do our best to engage in those questions towards the end of the call.
Dale Henderson: Thanks, Ken, and good morning, everyone. I'll speak to three parts – the quick update on the operations and performance we've had there. I'll then move to an update on the projects and expansion works and then to finish, I’ll talk about the Ngungaju recommencement that we are well on the pick off at the moment. So staring with operations, as Ken said, really good quarter. Safety, first and foremost going well and no recordable injuries in that space, always good to see. From a production standpoint, strong volumes through the plant in terms of produced tons. So that's going well. Good recoveries as well, averaging 72% for the quarter. So all going well in terms of those production KPIs. In the mining space, activities are really starting to pick up as a function of the mine plan. So we are starting to move a lot more material in the quarter we head and looking ahead, we'll be looking to move more material and that's a function of two drivers. One, it's about potentially making up for the very low strip ratio that we had through the downturn of the market, so now that the market's turned and picking up, we're looking to move that waste. The second driver is around just building out a larger operational throughput with both the step-up and production with the improvement projects coming into play in the December quarter and the recommencement of the Ngungaju operation, we have to ready the mine for that higher throughput of ore tons coming from the mine to the two respective plants. So overall part of the mine plan in that regard. In terms of challenges for the operation, probably the main challenge, which is an industry challenge, reminds the tight labor markets and specifically around the  operations for the mining space, truck operators, excavator drivers that type of thing. But for us, it hasn't been a problem to-date, but we're just acutely aware of the heat in the market and particularly, as we think about ramping up that mining production that I just provided. That really to wrap on the operations phase.
Brian Lynn: Great. Thanks, Dale and good morning, everyone. So I just really want to cover off on the costs that we incurred during the quarter, and then just also some discussions around cash balance and the major movements of our cash balance. So probably the first part to start is just to reflect on the physicals that we achieved for the quarter because obviously those drive cost and cash outcomes. So we produce just over 77,000 tons of spodumene concentrate. We are able to draw down about just shy of 19,000 tons of stock that had been established at the March 31. So total ship tons for the quarter where just under 96,000 tons. If you remember last quarter, we had some tons that were loaded on the ship, but the ship hadn’t yet – sales about 30,000 tons. So if you add those to the 96,000 tons shipped this month, we achieved sales tons for the quarter of 109,000 dry metric, tons. With respect to cost per ton because that's an important metric that we measure our business on. So I thought it's probably just worth reminding everyone, when we talk about a unit cost per tons, what we are actually including. So when we define unit operating costs with, we are including mining costs, processing costs, transport costs, royalty costs, native title, port, shipping and freight costs, some general administration costs at the site. And we also credit any byproduct from tantalite. So that's what we effectively capture in our cost per ton. And the whole idea of that is that if you then take that cost per ton, you take off the price you achieved, that's really the margin that you're making at your operation.
Kenneth Brinsden: Yes. Thanks, Brian. So that's worthwhile talking to the market in a little bit more detail because there is some really interesting dynamics implied. To understand the current position and it's worthwhile reflecting on the effect of supply and demand in the last couple of years. So in the period of time the chemicals pricing and spodumene pricing was down. There was an element of consolidation on the mining side and in fact, a couple of mines went broke. So obviously, very tough conditions for the miners. In parallel, chemical conversion capacity was still being built at a phase in China, and that is now reflected in a significant installed capacity figure within China either already commissioned being commissioned shortly or during the course of this year and next year. So the effect of that means that today there is a lot more chemical conversion capacity can be filled by merchant spodumene supply. Stated plainly, that means that there is a spodumene shortage. And as a result, you have a very interesting dynamic starting to emerge. For the first time that I can recall in the industry, there is now a fundamental disconnect between the pricing that would have typically prevailed in the spodumene world, as defined by most pricing mechanisms, including the ones that we deploy in our offtake agreements as compared to what might be achieved in the emerging spot market. Now that there is multiple buyers or many more buyers than there has been historically in the market. AU spot market is starting to emerge in a way that it hadn't been operating previously. Let me paint a very, very stark contrast for you to explain the current dynamic. As defined by Platts, we are aware, our pricing against what I believe to be a spot price in the market. They're suggesting today that that price is US$925 a ton FOB Australia. The last time that pricing was in that realm, was approximately like 2017, early 2018, and the headline chemicals price was US$22,000 to US$24,000 a ton. Today’s headline chemical price is approximately US$12,000 to US$14,000 a ton.  to describe the effect that's happening in the market today. Spodumene is fundamentally short and as a result, chemical converters are foregoing some of their margin and in essence, paying that away for the purpose of obtaining a spot cargo. It's a very, very interesting dynamic and represents an important change in the market. Now with a view to this effect happening perhaps not quite as fast as it seems to have unfolded, where you have been determined to increase our participation in the spot market, and as a result, we've been developing the battery material exchange that BMX platform in concert with GLX Digital here in Perth. And the BMX platform is deliberately targeted to provide an important sales channel for increasing production from Pilgangoora with a view to accessing those multiple buyers that exist in the spot market in China. And I’m pleased to say that it looks like it's formative to Pilbara Minerals and an important development for the market as a whole. The BMX platform is now live. We've screened approximately 30 potential buyers. And again, that's a pretty extraordinary number in comparison to when we commenced in the industry back in 2015, that orders of magnitude higher than the buying group that was available back at that time. And our first auction is eminent and obviously, we'll come back to the market in the event that there's developments there to share. So a really interesting position that the spodumene market finds itself in.  In summary, we think Pilbara Minerals is incredibly well-placed to be able to participate in this next phase of growth that's going on in the industry. And we would like to think that we have the right combination of productive plant capacity, the skills amongst the team to maximize the performance of those facilities and that shouldn't be underestimated because that is very, very hard one in the lithium industry and dealing with spodumene, especially flotation. And of course, now there's a backdrop of significant growth in demand. But in particular, for the merchant supply of spodumene and as a result, we think we're in a very strong position. The last thing that I would like to share relates to the relationship with POSCO for which we are still optimistic in both the value in that relationship and the skills that the POSCO team and their participation in the Korean market and our ability to participate there alongside POSCO. We have been frustrated by our progress. Some of that had been a lot more complex during the months or the latter part of June and July due to some serious illness amongst the lithium team in South Korea, but nonetheless, we are optimistic about the progress of that deal and it's relevant to the growth of Pilbara Minerals. So we expect to see that progress during the course of this month – sorry, next month, I should say. We're not quite there yet. So looking forward to progress there, that's about all we have to share in the way of commentary. And we would ask that everyone gets sets of questions. Just a quick reminder to those of you that are on the webcast, you can hit the tab, ask a question and we'll be doing our best to come back to you, and apologies in advance if we don't get through all those questions. We'll explain how you can engage with us post the call as well. So Ken, if I could hand back to you for the purpose of the teleconference Q&A. Thank you.
Operator: Thank you, sir.  Our first phone question comes from Jack Gabb of Bank of America. Please go ahead.
Jack Gabb: Thank you and good morning. Just a couple for me. So Ken you pointed out, I guess, the current disconnects between spot pricing and offtake pricing. Can you just give us a little bit more color as the scale of that disconnect currently? And I guess as part of that, just how much of your existing offtake you think you'll be able to renegotiate to deliver a closer approximation of spot going forward?
Kenneth Brinsden: Yes. Good question, Jack. If we were to be executing a provisionally priced contract today, depending on the customer, you would be talking about a range of approximately US$650 a ton, maybe a fraction higher. As it relates to what we're now calling the spot market, that again, I'd make the point that it's only a relatively new development in the industry. If you were to believe it’s plus US$900 a ton, the other price reporting agencies like FastMarkets, Asian Metals are lower, but it's not immediately clear to us what they are trying to report against. So in fact, one of the reasons why I'm highlighting this issue is to explain that that as the market evolves and by the way, these moving very quickly as well, it's difficult to be definitive about what's happening in respect of price. There is both price acceleration that is relatively recent phenomenon, so even in terms of contracted pricing that went from approximately US$500 a ton in April to as I said, probably north of US$650 a ton. So that's all happened within the space of three months. And in that same period of time, we've now started to see the spot price accelerate because of this fundamental shortage I'm describing. With respect to the more direct question about our customers, well we have mechanisms for the purpose of review and we are, of course, are going to launch into those conversations. It's difficult to be definitive with respect to timing, but our expectation is that as a function of contractual terms, there will be some flexibility there.
Jack Gabb: Perfect. Thank you. And just one more for me. And just turning to cost, can you be a little bit more specific, I guess, about the stripping price going forward? And I guess, I think you'd like to mine around 4:1. So just how that sort of looks in FY2022 and beyond? And then I guess as part of that, are you factoring in some of this good exploration success you're having around the South Pit in terms of the ability to bring the other strip ratio down? Thanks.
Kenneth Brinsden: Yes. Jack, again, a really good question. The strip ratio in the June quarter was approximately step down to 3:1. Loss of mine is actually closer to 5:1 Jack as the reserve has grown. So based on the 106 million ton reserve, strip ratio is just a fraction on the 5:1, and we think Dale at about 6.5 to 1 in this next phase of catch-up if you lock on waste movements.
Dale Henderson: Yes. That’s 6.2, but the object to your query on how we reconsidering the new ore. Absolutely, we are. We're just very much in the throws of bringing that into the resource model at the moment. But in short order, after that, we will be running those mining scenarios to see if there's a smarter approach in the near-term and we will pursue that. 
Jack Gabb: Great. Thanks a lot. I will pass it on.
Operator: Thank you. Your next question comes from Hayden Bairstow with Macquarie. Please go ahead.
Hayden Bairstow: Good morning, guys. Just a couple for me. Just firstly, on the market, Ken, just interested to understand, I mean, Pilgan sort of running it, I guess, would be expanded right 360 to 380, and you'll get the view out of the  this year. Just what sort of volume do you think you can free up to take advantages about  in the next six to 12 months?
Kenneth Brinsden: Yes. Thanks, Hayden. Good question. The entire capacity at the Ngungaju Plant is available for the BMX platform. Now of course, that's ramping up in the same period that you're asking. We'd go from relatively modest tons in the December quarter, let's say nominally, 15,000 tons up to a run rate of between 180,000 and 200,000 tons by June 2022. In the meantime, there is again, a very modest additional tons coming out of the Pilgan plant, and in fact that's where some of the extra capacity comes from as a result of this first option. So that's not a huge number either. That's sort of in the order of 10,000 to 20,000 tons. So again, we'll provide more detailed guidance for the August timeframe for the results, but back-filling capacity into the BMX platform, let's say, 100,000 to 220,000 tons sort of all that order.
Hayden Bairstow: Yes. So about 100,000 for this fiscal year, that’s the number you will have available.
Kenneth Brinsden: Yes.
Hayden Bairstow: Yes. Okay. And have you actually accelerated from the start to restart plan now with Ngungaju? Or is that still the end of the same – what I had anyway that doesn't change?
Kenneth Brinsden: No, it hasn't changed, but we haven't finished the engineering work that relates to the acceleration. So I hope that we can do it quicker, Hayden, but we're not prepared to put that yet.
Hayden Bairstow: Yes. Okay. No probs. And just your offtake agreements, Ken, at what point have you got a repricing option where if we're sitting at 18% of the hard-rock sale price and spot going forward then you can actually decouple yourself from those old contract pricing methodology. Is that possible in the next couple of years?
Kenneth Brinsden: Yes. Broadly speaking, the contracts were low on the premise that if a disconnect starts to emerge in the market, and then we have the opportunity to open up a discussion about pricing. And we planted those seeds in the original contracts in the knowledge that it was still a relatively immature market and that there would be pricing developments over time. Now we are pleased to say that some of that development looks like it's starting to happen. Firstly, there is a little bit more transparency about the number of people that are following the market and printing price references, developments like our BMX platform then a bit more definitive about trades and pricing on trades, price discovery. So all those things contribute to a discussion with our customers about the pricing mechanisms and sales. Now, as I said to Jack, we can't be definitive about any changes at this stage because obviously it's going to be subject to more discussion.
Hayden Bairstow: Okay. Just want one final one on this over site that caused the trading halt suspension, we are expecting that just to be resolved by Friday afternoon?
Kenneth Brinsden: Yes, Hayden, that’s our expectation.
Hayden Bairstow: Okay. Thanks Ken.
Operator: Thank you.  Your next question comes from Al Harvey at JPMorgan. Please go ahead.
Al Harvey: Good morning, Ken and team. Couple for me. Just with the restart CapEx spend at Ngungaju. So what's been spent out of that 39 million already, and finally got FID approval at the end of June, but how much came out in June and when do we expect that other 39 million or the rest of the 39 million to come out?
Brian Lynn: Yes. Hi Al, it's Brian here. Look, about – of that 39 million, approximately 5 million or 6 million have been spend up to June 30, and then the reminder will be spent really between July and February of next year.
Al Harvey: Great. And with the incremental expansion of Pilgan studies coming through in December quarter, is it mainly a refresh of the previous studies and most sort of updates that you're looking at adding in? And maybe are you looking at the  that you hadn't mentioned in those previous studies? And when could that possibly be reporting into the plan?
Dale Henderson: Sure. The study we are targeting through the end of the calendar year is focused on what we used to call Stage 2 Phase I. So yes, it is a refresh of the thinking we'd done previously. But the study we will be producing takes it to a deeper level of design and quantities such that it could ultimately support an FID case. As to the further expansion case that would also likely follow what we had originally contemplated that incremental expansion. But we're obviously focused on the first phase at this stage.
Al Harvey: Yes. Thanks, Dale. And just a final one for me. Just the deferred consideration for Altura 69 million shares or cash equivalent, what timeframe is that share price set over to work out that cash equivalent?
Kenneth Brinsden: Yes. Al, it harks back to the original – in effect the original share price at the settlement of the deal. So that's going back to late October last year.
Al Harvey: Great. Thanks Ken, and saying that's all for me.
Kenneth Brinsden: All right. Thank you. Thanks, Al. Thanks, Hayden. Thanks, Jack for your questions. And Ken, I think – well, I'll hand back to you that I think we're right to go with the webcast questions.
Operator: Thank you, sir. Confirming no further phone questions at this time.
Kenneth Brinsden: Okay. Thank you, Ken. Handing over to you, Nicholas, if you could just let us know the questions on the webcast. Thank you.
Nicholas Read: Thanks very much, Ken. Good morning, everyone. We do have a number of online questions that have come through. A number of shareholders have asked about the current suspension of the shares. Sorry, just to summarize the questions, when will the stock actually be registered, I know you did touch on that. Does the suspension have any impact on the business in described plans in any shape or form? And yes, if you can just perhaps comment a bit more about that.
Kenneth Brinsden: Okay. Thanks, Nick. Well, to be clear, the nature of the trading halt is that it's technical in nature relating to the presentation of a required prior cleansing notice harks back to the conversion of options to shares and then a subsequent sale in late June. The company's view is that, of course, we were cleansed at the time. We take all that very, very seriously. And we'd like to think that we have a very strong track record in respect to all that continuous disclosure and all those things that are required. But as I said, the fact that the cleansing notice wasn't issued at the time, means that there is a technical bridge that can only be resolved by an order of the Court, in which case we've done everything that we can to accelerate the Court hearing, and we are pleased to say that that will occur on Friday afternoon. The company's expectation is that given the administrative nature of that bridge implies that the Court will deal with the issue quickly. We can’t be definitive about trading as of Monday morning. But it's fare to say that that would be our expectation.
Nicholas Read: Okay. Thanks very much, Ken. I'm going to now move to a couple of questions from Tim Hoff from Canaccord. Firstly, are all the waste tons being expensed next year or is there element that has been capitalized? And secondly, can you provide some guidance on sustaining capital next year, please? That one is for you, Brain.
Brian Lynn: Yes. Sure. Thanks, Nick and thanks, Tim. So some of that waste movement for next year will be capitalized, so the way we treat waste is that anything – any waste up to the strip ratio of 5:1 is expensed, but anything beyond 5:1 get capitalized because essentially the rule is that you're mining waste in excessive strip ratio, you get to capitalized that portion of it. And sorry, Nick, what was the second part?
Nicholas Read: Some guidance on sustaining capital?
Brian Lynn: Yes. So we'll put some guidance out at the end of August. But the way we tend to view sustaining capital is sort as a percentage of what the original spend – capital spend on the plant was that if you run with those percentages and the spend on those plants, you're probably looking at sustaining capital across the two types of somewhere in the order of $8 million to $10 million. We'll be more definitive on that when we put out our guidance in August.
Nicholas Read: Thanks, Brian. Another one from Tim perhaps for your Ken. Given that historical offtake as the SC6 pricing mechanism linked to chemical prices. Do you have enough power to start pushing for higher prices to capture additional margins i.e. to change the SC6 pricing formula?
Kenneth Brinsden: Yes. Thanks for your question, Tim. And it is a logical one. Yes. So the objective – historically, the objective had been to take the value in the spodumene to the headline chemicals price. But in particular, where most of your customers play and that means principally within the Chinese domestic market although not typically exclusively. And that has been a fair and reasonable assessment of price historically. And by the way, that's still results in some reasonably significant price appreciation that we are taking advantage of now. This recent phenomenon and the run in the emerging spot market is very new. As I said, this is only a phenomenon that's emerged in quite literally the last – it a guess, over the last six weeks – six to eight weeks, in which case, it's a very new phenomenon. And that means that we have to open up a new round of conversation. As I alluded to earlier in the call, we had deliberately set up contracts for the purpose, such that there was the purpose of review in fact, almost to deal with events like this one that we're describing. So our view is that we can have a reasonable conversation with our customers. But I'm not going to be definitive about what that means in time. Obviously we'll get into that conversation and we'll look for whatever points of value that we can to ensure that we achieve the right price for our spodumene.
Nicholas Read: Thanks, Ken. I'll now move to a question from  from Canaccord. How much volume do you think you will sell on the BMX platform as a percentage of total production? And also, is there any update on the Calix joint venture, please?
Kenneth Brinsden: Yes. Well, as it relates to the BMX platform, it will largely carry the Ngungaju production as that comes back on, in which case that will be – at the time, it will be up to 200,000 tons per annum as compared to approximately 580,000 tons per annum of total production from Pilgangoora. And then over time, while the BMX platform, we hope that the world is our oyster, as it relates to contracts rolling off or what we might do with additional products, like for example, a midstream product or a value-added lithium chemical. The engineering and the lab work that relates to the midstream project, which obviously includes the Calix relationship is continuing. We're still very, very pleased with progress there. And ultimately, our objective is to get to a decision around the progress of a demonstration plant by like this year. Is there anything else that you'd love to add into – to fill in detail, Dale?
Dale Henderson: No. It's going well.
Nicholas Read: Thanks guys. I'll jump to a question now from . Other than freight costs, do you anticipate production costs to reduce taking into consideration economies of scale?
Brian Lynn: Yes. That is our expectation. So certainly, once the Ngungaju Plant and that operation is up and running, you'd expect to have efficiencies at that particular plant, but also cost on both operations. So our expectation, again, we’ll give some guidance and this is enormous. But our expectation is once that operation is up and running and has reached 95 capacity, then your unit operating costs should reduce accordingly.
Nicholas Read: Thanks, Brian. Another follow-up question from Tim Hoff from Canaccord. , it appears that there is a high level or that there is a level of high grading occurring. Is this the case and does it mean that you have a low grade stockpile being built and how do we think about the timing of feeding this material?
Kenneth Brinsden: Okay. Yes. Tim, it's always been the case that we were going to mine a higher grade in the first – approximately three to four years of the project's life. That's the function of the geology, not necessarily Pilbara doing anything that relates to a subset of high grading. That's just because of the old grade we saw in the Central Pit in the areas that have been opened up adjacent to the plant. So we've been pretty clear about that over the last couple of years. There is transitional and contaminated material, again as envisaged as a function of the reserve development, and I do get processed over time. But they're not at least for proportion of the total reserve. They're not a huge proportion of the reserve. So to be clear, yes, higher grade mines as a function of the geology and the presentation of the ore as we commenced mining. Yes, there is some stockpiled material that represents an opportunity for the purpose of processing at a future date. But as I said, by proportion of the total reserve, it's not a huge number.
Nicholas Read: Thanks, Ken. We'll just do a couple more online questions and then I'll think we’ve got one more question registered for a phone question. This question is from . He says with regard to value adding is the company considering any downstream processing opportunities for lithium in Australia in joint venture with other producers potentially. Now I just assume that Australia would do better with just one additional processing plant and therefore the joint venture taking lithium closer to factory ready?
Kenneth Brinsden: Yes. Thanks for the question, Rob. Yes. I think the answer is, yes. There's an opportunity to do more to evaluate spodumene before it leaves the Australian shores. Our strategy, I think is envisaged by the midstream discussion and the work that's ongoing with Calix, is with a view to evaluating a product that's not necessarily a battery-grade. And the reason that you would go down that path is, is because really Australian miners are not well set-up to create a battery-grade product. That's meant that people that are wearing lab coats and in sterile pristine environments and unfortunately, the Pilbara and mining operations are typically not like that. So a level of value adding with a view to maximizing the revenue per ton, but without the combination of capital and operating environments/expertise, that's required to create a battery-ready product. Partnerships, well, I think we've already demonstrated that we value key partnerships and, of course, we put POSCO in that category. The commercial arrangements around a final midstream product solution yet to be developed, but of course, partnerships could very well be one of the important solutions to penetrate international markets and in particular, Europe and North America. Anything else you want to add Dale?
Dale Henderson: Maybe a couple of word. I think,  just how do we create most value as quickly as we can. So with that in mind, an Australian project isn't  just maybe there's a better option.
Nicholas Read: Thanks, guys. Just one final – we had a lot of questions, fairly broad questions about growth strategies. So I'll just try and summarize them. In essence, people are asking, given the scale of the opportunity this year in the battery metal space, what are your – are there any longer term sort of big picture growth aspirations or plans beyond what you're currently focusing on with the existing plants that could potentially position Pilbara to capture that opportunity in the future?
Kenneth Brinsden: Yes. Thanks, Nick. Yes, we firmly believe that Pilgangoora is a pretty amazing position for lithium raw materials. The scale and the resource and the combination of its location and proximity to key markets is very, very powerful in our view. We like the idea that we can position or more deeply vertically integrate Pilgangoora production to other facilities. And you see that in the relationship that we've established with POSCO and what we're trying to achieve to interconnect the production to a joint chemical facility in South Korea. Those sorts of models still very much a value to Pilbara Minerals and ultimately to maximize the value in the resource in the ground, and of course the value in the company. So we do still work very hard on our participation in international markets. And we do think that that's a really important part of the future of the company and our ability to continue to keep growing. All right. Moving back to Ken, many more questions from the phone line. Thanks.
Operator: Yes, we have one further question from Mitch Ryan at Jefferies. Please go ahead.
Michael Ryan: Good morning all, and thank you for your time. My question is you've touched on the provision in your offtake agreement to renegotiate and you are favoring a rising price environment, also in forecasting full in spodumene prices anytime in the near future. Is that provision – is that available to both parties? Moving price  we think that there's also downside risk.
Kenneth Brinsden: Yes. Mitch, the answer in short is yes. The pricing mechanism has the ability to be triggered and discussed in both directions. Arguably, we've been through that phase, Mitch because clearly, we had a tough time in 2019 and 2020, but nonetheless they become a stronger organization for it. So yes, the answer is, yes, it works in both directions. A key development from our point of view is that is the emergence of the spot market and even now the disconnect between a genuine spot sale and a contract sale does represent a new phenomenon, that hasn't happened before. At least not to the extent that it's disconnected now. So hence the logic in launching into a conversation with our customers.
Michael Ryan: Thank you very much.
Kenneth Brinsden: Thanks, Mitch.
Operator: Thank you. No further phone questions at this time.
Kenneth Brinsden: Okay. Thank you, Ken. Thanks to whoever participating on the teleconference and those participating online. If you missed a question and/or have further questions, we encourage you to touch base with our email service, shareholderservices @pilbaraminerals.com.au. That's shareholderservices@pilbaraminerals.com.au, and we'll do our best to respond as quickly as we can. Thanks everyone for your participation this morning. Thanks to the team here in Perth, and we'll look forward to catching up with you next time. Good morning all. Thank you. Bye.
Operator: Thank you, everyone. That does conclude our conference for today. You may now disconnect your lines.